Operator: Good morning. My name is Phoenix, and I will be your conference operator today. At this time, I’d like to welcome everyone to the ACI Worldwide Reports Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] Thank you. I’d now like to turn the call over to John Kraft, Vice President of Investor Relations. You may begin your conference.
John Kraft: Thanks, Phoenix, and good morning, everybody. Today's call, like all of our events, is subject to both Safe Harbor and forward-looking statements. You can find the full text of both statements on the first and final pages of our presentation deck today, a copy of which is available on our Web site as well as with the SEC. On this morning's call is Phil Heasley, our CEO; and Scott Behrens, our CFO. With that, I'd like to turn the call over to Phil.
Philip Heasley: Thank you, John. Good morning and thank you for joining our call. Our quarter two is a very productive quarter and we continue to be on track to achieve our full-year goals. We delivered strong growth in net sales bookings of 18%, while overall sales bookings including term renewals grew 24%. Our UP enablement strategy continues to gain momentum. In Europe, a large financial institution purchased UP BASE24 eps 2.0 for their faster payments platform. This is one of the many initial iterative steps towards the adoption of a broad UP enablement strategy across all our markets. And it is an important validation of the unique UP concept. For a decade ACI has been the backbone of faster payments infrastructure in the U.K. and our leadership role there is expanding our opportunity as similar, faster payments initiatives are being contemplated throughout the world. In the Americas, we signed our large hosted contract with a value added vendor in the mortgage entitled industry to provide an innovative solution uniquely utilizing both our EBPP remittance services, as well as our MTS wire application. This is another new vertical and use case and has already led to increased discussions in the sector. Our renewals was also strong, growing 37% in the quarter and we’re happy to announce a five-year extension with the IRS for Federal tax bill payment services as you know the tax payments space is competitive and ACI was chosen largely because of the proven reliability of our systems. We continue to see strong and growing pipeline of UP opportunities and expect interest to increase with the fourth quarter launch of our Linux-based version of the UP BASE24 eps 2.0 product, extending the BASE24 application to Linux systems has the potential to reduce our customers hardware and middleware overhead costs by more than 50% and allow them to more broadly deploy the UP framework for efficiency and in consolidation throughout their network -- throughout their organization. We are also investing in our retailer focused offerings as we continue to experience growing demand for these payment engines. Combining the e-commerce capability of our recently acquired ReD with our legacy platform creates a truly differentiated omnichannel multi payment offering. Notably ACI is taking a leading role in Payments.com R2 Retailer Payments Conference in Chicago next week. We expect the event to generate important dialogue on sales leads given the disruption permeating the retail payment category. Many leading retail brands will be present both as discussion leaders with ACI executives and as conference participants. I’m very proud of what we’ve accomplished this year-to-date and we’re tracking well to achieve our full-year targets. I’ll now hand the call over to Scott, who will discuss our financial results and 2015 expectations in more detail. Thank you.
Scott Behrens: Thanks, Phil, and good morning everyone. I first plan to go through the highlights of our second quarter and then provide our outlook for the full-year 2015. We’ll then open the line for questions. I'll be starting my comments on Slide 6, with key takeaways from the quarter. As Phil already highlighted, we had a very strong sales quarter with overall sales bookings in Q2 including term extensions up 24% over the last year, net new sales bookings up 18% from last year’s Q2 and up 9% excluding the $14 million contribution from ReD. And we remain on track to deliver our full-year target of high single-digit growth in net sales. Moving to backlog, we ended the quarter with 12 month backlog of $883 million, down $11 million from last quarter after adjusting for FX and 60 month backlog of $4.1 billion, down $10 million from last quarter after adjusting for FX. It is important to note here, however though that during the quarter we made the decision to exit a bill payment sub-segment as a result of regulatory changes impacting that particular vertical. The net impact to our 60 month backlog was approximately $30 million. So absent this decision, 60 month backlog would have been up $20 million during the quarter. We saw revenue of $266 million in the quarter, up 4% from Q2 last year or 6% on a constant currency basis, and excluding the incremental impact from the Retail Decisions acquisition, our organic revenue grew 4% on a constant currency basis. Recurring revenue grew to $194 million or 73% of the total and specifically our SaaS subscription and transaction based revenues continue to grow up 9% from Q2 last year. Our adjusted EBITDA grew to $58 million, up 3% from last year’s Q2 and when combined with our strong Q1, adjusted EBITDA is up 9% year-to-date. We ended the quarter with $50 million in cash on hand and after paying down $84 million in debt year-to-date, we ended the quarter with a debt balance of $808 million. Our operating free cash flow declined in the quarter, mainly due to the timing of a couple large renewals that happened late in the quarter, we now expect these cash receipts in Q3. Also of note, during the quarter, we received cash proceeds of $35 million and recorded a gain of $24 million from the sale of our holdings in Yodlee, Inc. stock. Lastly, turning to Slide 7, based on our solid performance year-to-date and our outlook for the second half of the year, we’re reaffirming our previously provided full-year 2015 guidance. We’ve reviewed and are comfortable with the first call estimates for our full-year revenue and EBITDA expectations. We continue to expect full-year non-GAAP revenue to be in the range of $1.04 billion to $1.07 billion. We expect 2015 non-GAAP EBITDA to be in the range of $280 million to $290 million, which is also unchanged. And as I said earlier, we expect sales net of term extension bookings to be in the high single digits for the full-year. A couple of other items, foreign currency fluctuations and expectations have not changed materially since last quarter’s guidance was provided, and we do expect Q3 revenue to be in a range of $235 million to $245 million. And lastly, our guidance excludes approximately $12 million in expected one-time integration related expenses for our continued datacenter and facilities consolidation and bill payment platform rationalization. That concludes my prepared remarks. Operator, we’re ready to open the line to questions at this time.
Operator: [Operator Instructions] And your first question comes from Peter Heckmann of Avondale. Your line is now open.
Peter Heckmann: Good morning, gentlemen. Nice results.
Philip Heasley: Thanks.
Peter Heckmann: Can you talk a little bit more about this large European Bank existing customer upgrading to the universal payments platform? Is this the same customer that we had talked previously that was in the pilot program or is this a separate and distinct customer?
Philip Heasley: This is separate and distinct customer. This is a faster -- this is an upgrade to faster payment and actually using -- bringing in 2.0 for a broader application than how they were using our products in the previous generations. So it’s a nice validation of UP and it’s a – it’s also a nice validation of our ability to support the 31 countries around the world that are implementing faster pay rate now and it’s a good validation of UP’s utility in that regard.
Peter Heckmann: Got it. Got. Okay. Can you take this opportunity to maybe update us on any large financial institutions globally that maybe piloting any upgrades, maybe any in addition to those you’ve mentioned in the past, any update?
Philip Heasley: Well, what I can comfortably tell you is that, last time I told you that we were actively involved with about a dozen and I can tell you that, that number -- that active dialogue is now reached a number that’s at or above a dozen and half. And there is a large assortment of use cases at this point. So we are very pleased. These are transformational projects, so we’re not going to be overly aggressive in terms of saying when. The only other thing I will say is that we’ve not fallen off the charts with any of our dialogues that at this point and each one is actually had probably more steps to conclusion than I’d have predicted at the inception of the dialogue. But we’re growing very nicely in the interest and the interest is truly global.
Peter Heckmann: Okay. That’s very helpful. And then, just the last question, I will get back in the queue, but on this mortgage processing company, I didn’t catch exactly what functionality they’re using from ACI? Could you go over that one more time?
Philip Heasley: We’ve created a real-time wire process for the closing of mortgages, and they’ve even been through a mortgage process. We’ve kind of brought it into the 21. We have and we’ve supported -- and it’s not a mortgage company, it’s a supplier to the mortgage industry. And I can’t tell you their name, but they now have a process for which they can give you real time support to the closing process that utilizes wire. So, the process is much cleaner and much more straightforward. So a lot of -- you realize that real time payments should and does include wire as being one of the forms of real time.
Peter Heckmann: Helpful. Thank you.
Operator: Your next question comes from George Sutton of Craig-Hallum. Your line is now open.
George Sutton: Thank you. Guys, relative to the street estimates you obviously nicely exceeded Q2 and it looks like Q3 will be a bit below. So in effect what we’re doing is flipping the quarters. Can you talk about what surprised you seasonally or what would be different than normal seasonality?
Scott Behrens: Well I think if you look at Q3, I mean we beat the second quarter, part of that was timing of deals that came in from Q3. We’ve said in the past that there are, last year we said there was certain customers that were deferring things like capacity, purchases and waiting to make that decision. Well at some point the time runs out and they have to come back and purchase capacity. So it was a strong capacity quarter. It was really timing based on the market and, so that would be part of the Q2, Q3 optics.
George Sutton: Okay. Phil, relative to Linux, it kind of reminds me of years back when you moved off of just the tandem platform and added other platforms. Can you give us a sense of significance? Are there customers that are sort of pent up waiting for the ability to put this on a Linux platform?
Philip Heasley: I think the -- being a banker for as many years as I was, it would be very unfair for me to say that -- it will be very unkind for me to say that a large percentage of bankers are lemmings and very few are change agents, but that might actually be the case. We actually have a pilot going and I can't tell you who the pilot is. I think that when the numbers -- I think there will be a lot of resistance from people who have large revenue streams at stake. But I think when the numbers kind of prove themselves out and the significance of our active -- active working at the software level to the extent that it enter the perfection that it does. I think when that proves itself out I think there will be an orderly rush to Linux because it -- and if your revenue is coming down, if the regulators are bringing down the top line of payments, you have to do intelligent things on the bottom line and this is a really intelligent thing because it doesn’t do anything but perhaps improve your flexibility and lowers your cost. So it makes a lot of sense. The gating factor, gating is like -- in a horse race versus a gate, is, there’ll be a natural roll over of the hardware contracts. And I think that will be the -- those will be the timings in which it will be reviewed. But the numbers that we’re giving you that are around 50% is actual use case experience of our pilot at this point. So I think the numbers are very, very compelling.
George Sutton: Perfect. Thanks guys.
Operator: Your next question comes from Brett Huff of Stephens Inc. Your line is now open.
Brett Huff: Good morning and congrats on a nice quarter guys.
Scott Behrens: Thanks, Brett.
Brett Huff: Two questions, one, you talked a little bit about the big UP deals in the pipeline Phil, and it sounds like they’re getting -- we’re filling up even more from 12 to 18. Can you just give us an update on -- are we still expecting to see a big FI UP deal financial institution close here by year end?
Philip Heasley: Here is the way I explain the math to everyone, and I should explain it to you. The answer is yes, and it was I felt a lot less comfortable saying yes when I had four or five deals and each deal you could say well from a timing standpoint it has a 20% to 30% chance of closing by the end of the year. If we now have 18, 20 deals that are actively working their way through the pipe and they’ve got, we have 33%, 40% -- 25% to 33% chance of closing between now and the end of the year the probability that one or two of those actually close gets very, very high. It gets very, very high that it actually happens. So can I tell you which one it is? No. Can you I guess which one of five or six or which two of six or eight it is? I could kind of guess. But I think the probability gets very, very high because we’re now getting to references and things are getting to boards and things like that. So I’m feeling more and more confident that the answer is yes.
Brett Huff: Okay. Thanks. And then, one other question just on the quarter, and Scott this may be for you. It looked like that the gross margins in the non-license revenue line, the server or the services, maintenance and hosting gross margins were meaningfully lower than we thought. Is there something going on there that was unusual or could you just explain why that was?
Scott Behrens: Well, I’d say there’s probably two drivers there. One, first you have to take out the growth in the interchange, that’s the pass through of cost that we have in the bill pay business, that growth was up $4 million year-over-year. But we also had a large implementation project that finished up in the second quarter that was taking -- that took quite a bit of resources to get it done. The plus side of that is now we free up those resources for second half pipeline implementation. So I would say those two.
Philip Heasley: So let me be more direct, right, not that Scott’s not being direct. But I -- and this is kind of -- this is a -- internally a cause for celebration. I told you guys many quarters ago that our fun times with the justice department over nothing in the acquisition of S1 we landed up inheriting a very [dis] [ph] economic deal that we didn’t discover till several months after we were integrating the business. Because we weren’t allowed to look at the business for the last six months before we purchased it. And we went and told you that we’re taking our lumps and we moved on and we handled most of those contracts. The final one of those contracts just completed and to give you guys an idea of living up to our word, we got a couple of million dollars of revenue which I think we recognized ratably or whatever, and we just finished spending about $25 million putting that system in. And so, that’s actually why we’re celebrating because that frees up an awful lot of capacity to earn real revenue going forward. And why did we do it versus cut our losses and walk away and we did it for honor and reputation and we bought the company that did a bad deal and we lived up to that deal. So that stuff is all beyond us and even if you take that extra expense S1 was still a wonderful acquisition. So we’re not going to cry in our fear about that. And I would actually add a third element, is that, our hosting business is doing very, very well and the more we grow the hosting business the more we temporarily depress its margin as we implement, because if -- as long as the percent implementation grows you temporarily bring its margin down and we for one don’t want -- we like that percentage growth actually growing. It can't continually grow. But we like it growing; we’re doing a lot of things to improve the speed of our implementation. But as we’ve had this nice growth in -- growth rate in terms of the SaaS Cloud part of our business, it depresses and then you take the revenue -- you don’t have the revenue celebration on [audio break] due on an installed basis, you then take it ratably.
Brett Huff: Great. Thank you.
Operator: There are no further questions in queue at this time. I’ll turn the call back over to the presenters.
Philip Heasley: Well, thanks everybody for joining the call. We look forward to catching up with most of you in the coming weeks. Have a good day.